Operator: Welcome to the Tempur Sealy First Quarter 2016 Earnings Conference Call. [Operator Instructions]. I would now like to introduce your host for today's conference, Mr. Barry Hytinen, CFO. Please go ahead.
Barry Hytinen: Thanks, Blaire. Good morning, everyone, and thank you for participating in today's call. Joining me in our Lexington headquarters is Scott Thompson, Chairman, President and CEO. After prepared remarks, we will open the call for Q&A. Forward-looking statements that we make during this call are made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Investors are cautioned that forward-looking statements, including the company's expectations regarding sales, earnings, adjusted EBITDA or net income and anticipated 2016 performance involve uncertainties. Actual results may differ due to a variety of factors that could adversely affect the company's business. The factors that could cause actual results to differ materially from those identified include economic, regulatory, competitive, operating and other factors discussed in the press release issued today. These factors are also discussed in the company's SEC filings, including but not limited to annual reports on Form 10-K and the company's quarterly reports on 10-Q under the headings Special Note Regarding Forward-looking Statements and/or Risk Factors, as well as the company's press releases. Any forward-looking statement speaks only as of the date on which it is made and the company undertakes no obligation to update any forward-looking statements. This morning's commentary will include non-GAAP financial measures. The press release contains reconciliations of these non-GAAP financial measures to the most directly comparable GAAP measures as well as information regarding the methodology used for constant currency presentations. We have posted the press release on the company's website at tempursealy.com and have also filed it with the SEC. Our comments will supplement the detailed information provided in the press release. And now with that introduction, it's my pleasure to turn the call over to Scott.
Scott Thompson: Thank you, Barry. Overall I'm pleased with our continued progress in achieving consistent earnings growth and profit margin expansion. This quarter adjusted EBITDA increased 15%, adjusted EPS grew 24%, and adjusted operating margins expanded a robust 200 basis points. I'm pleased to see the entire organization has been laser focused on handful with key initiatives that are designed to drive consistent earnings and margin expansion over the long term. These initiatives include, first, develop the best bedding products in all the markets we serve. Second, invest significant marketing dollars to promote our brand. Third, expand our North American margins while maintaining market share. Fourth, grow market share outside of North America. Lastly, optimize our worldwide distribution to make sure our products are properly represented in all channels. Because of the team's hard work we were able to demonstrate progress against each of these initiatives in the first quarter. Now I would like to call out a few specific things in the first quarter. First quarter sales declined 2.5%, and I want to make a couple observations on the sales results. Barry will have more to say in his section. First, based on our conversation with industry participants, we are hearing that the softness was broad based through the North American mattress industry. With January sales being robust, then February and March being soft. While it's unclear why the industry experienced this pattern in the first quarter, we believe that Tempur Sealy at a minimum maintained market share in the quarter in North America. You should also note as we move into the second quarter, sales trends have improved with April being strong for both Tempur and Sealy in North America. Second, currency headwinds reduced reported sales by almost $20 million while international sales reported on a reported basis was down 3% on constant currency basis international sales were actually up 6%. And we believe we continue to gain market share internationally. Turning to our expanding profitability, we made reasonably good progress on driving profitability, starting with adjusted gross margin which expanded 190 basis points in the quarter. I'm also very pleased that these gross margin gains in the U.S. occurred in both Tempur and Sealy. As I'm sure you remember in the third quarter of 2015, we experienced a gross margin decline of 100 basis points in Sealy. Then in the fourth quarter of '15 we experienced stable gross margins. Today I'm pleased to report approximately 100 basis point margin improvement at Sealy. In fact, 12 of our 15 Sealy plants improved from the first quarter of 2015, and the other three performed consistent with last year. These improvements are due to the team's focus on the issue and the progress on several key metrics, including employee turnover, productivity, quality control and on time delivery. Our adjusted gross operating margin expanded 200 basis points in the quarter, driven primarily by the higher gross margin. I'm pleased with our focus on cost controls as our adjusted operating costs were down year-over-year despite launch [Technical Difficulty] from our new [indiscernible] by Sealy brand as well as merit increases for our employees worldwide. I would like to point out that because our progress of cost management we are able to increase our investment in direct marketing and advertising programs. In fact, direct advertising spend increased by 20 basis points as a percentage of sales for the quarter compared to the same period last year. In my opinion, these brand investments will pay off in the short term and in the long-term. Overall we're proud of the progress the company's made by improving our gross margin operating expenses, but as I said before, we see this as a journey and we're still in the very early innings of what this team can achieve. Now Barry will walk you through the quarterly results.
Barry Hytinen: Thanks, Scott. As Scott mentioned consolidated net sales for the first quarter were $721 million, down 2.5% versus the first quarter last year and on a constant currency basis they were flat. Adjusted gross margin improved 190 basis point to 40.4%, and adjusted operating margin improved 200 basis points to 11.2%. On a segment basis, North America net sales decreased 2.4%, and were down 1.6% in constant currency. Our Tempur U.S. business was slight up and our Sealy U.S. business was down low single digits. In Canada, our first quarter net sales decreased 7.5%, but increased 3% on a constant currency basis. North America bedding product sales declined 1% with a 5% unit increase. Year-over-year, average selling price was negatively impacted by mix of lower sales of high end Sealy brand products, increased floor models, and foreign exchange. Partially offsetting these factors were the pricing actions we've taken since last year. Our Tempur-Flex and Sealy Posturpedic products produced strong growth. Now, a quick technical call out for those of you who track ISPA. The ISPA reports don't distinguish between regular mattress sales and floor sample sales, so among other things, so under the ISPA method we would be at a mid-single digit sales growth for the first quarter. Other product sales were down $10 million, primarily driven by a decline at our joint venture that is focused on value accessories. Orders from that business can be lumpy and we expect to see growth in the second quarter. North America adjusted gross margin improved 190 basis points to 37%. Tempur-Pedic U.S. gross margin drove a considerable amount of this improvement as we saw improved efficiency in our operations, including lower sourcing costs, pricing, and commodity tailwinds. This was partially offset by the rollout of our news Breeze products as we shipped a greater number of floor models compared to the first quarter of 2015. Now Sealy U.S. gross margins were up approximately 100 basis points year-on-year driven by operational improvements and commodity tailwind which were somewhat offset by the relatively lower sales of our hire margins Stearns & Foster and Optinum products. With big launches like Breeze and Stearns & Foster, where we are replacing existing lines, we often see customers liquidate floor models and some old inventory in anticipation of the new lines. This customer activity has the effect of lowering our sales in the period. This was not the case as much last year for our Tempur launch when we had the new third field, the Flex roll out. North America adjusted operating margin improved 220 basis points to 13.4%, driven by the adjusted gross margin and operating expense leverage. Operating expenses were down $5 million year-over-year, despite the increase in direct advertising, that Scott mentioned. Turning to our international segment, net sales declined 3% yet on a constant currency basis were up 6%. Bedding product sales decreased 3%, though on a constant currency basis were up 7%. Units decreased 1%. Other channel sales were up 18% on a constant currency basis, driven by significant increase in Sealy direct sales in Latin America as we expand distribution and continued strong Tempur direct sales growth. International adjusted gross margin increased 190 basis points, to 54.3%, compared to the prior year of 52.4%. Our gross margin improvement was driven by incremental sales through the more profitable direct distribution channels, plant improvements and some commodity tailwinds. Those margin gains were partially offset by the relative increase in Sealy sales to Tempur sales internationally. International adjusted operating margin improved 110 basis points to 19.4% driven by adjusted gross margin, slightly offset by operating expenses. Operating expenses were flat year-on-year, despite a slight increase in advertising. Consolidated EBITDA was $102 million, up $26 million or 34% and consolidated adjusted EBITDA was $104 million, up $14 million from last year, an increase of 15%. Operational improvements, pricing, and commodity favorability were the drivers of the improvement. These were partially offset by product and channel mix, floor model discounts and foreign exchange. Now, for me, the big highlight was our ability to on grow earnings double-digit in a period where industry sales were relatively soft. Also, I am pleased that in the quarter we reported a drastic reduction in adjustments to earnings. This quarter's adjusted EBITDA includes $2 million of adjustment as compared to about $15 million of adjustments in the first quarter of 2015. GAAP earnings per share was $0.63, up from $0.38 in the first quarter of 2015, an increase of 66%. Adjusted EPS was $0.68, up from $0.55 last year, or 24% increase. I should point out that we realized about half cent of benefit from our share repurchases as those were made late in the quarter once our window opened up. Now, moving on to the balance sheet and cash flow items, at the end of the first quarter net debt was $1.5 billion. Our leverage ratio based on the ratio of consolidated funded debt less qualified cash to adjusted EBITDA, as reported in the earnings release, was 3.2 times as of the end of the first quarter. This is down from 3.9 times in the same period last year, this even after our $100 million of share repurchases, again highlighting the business' ability to generate free cash flow. Operating cash flow in the first quarter was $19 million use of cash versus $6 million used in the first quarter last year, driven by the timing of payments to vendors among other items, cash cycle was off about two days from prior year on the timing of those payments. As we mentioned on our fourth quarter earnings call, we expect strong cash flow generation in the back half of the year and we are working hard to improve cash cycle throughout the year. As mentioned in the press release, and previously announced in early April we entered into a new senior secured credit facility which replaced our old facility and gives the company much more flexibility. In the second quarter, we expect to write off approximately $11 million of deferred financing costs from our previous senior secured facility. Our new facility permits unlimited share buybacks or dividends up to 3.5 times net leverage and also allows for share buybacks and dividends between 3.5 and 4.5 times based on a basket that grows based on the company's earnings. The current size of that basket is about $400 million. As we discussed on our last call, based on current debt structure, the senior note due 2020 are the most restrictive debt we have now. Those notes which are called in December have a current available basket of about $100 million. The basket grows based on 50% of GAAP net income quarterly after we file the 10-Q. Now, just as a brief update on our ongoing tax issue in Denmark. We have entered into direct discussions with the Danish tax authorities in an attempt to resolve this issue. We feel our reserves are appropriately provided for and expect to have more to say on this later in the year. As investors can appreciate, given the ongoing negotiations, we will not be taking questions about this item on today's call. Now, turning to our financial guidance for 2016, today we reaffirmed our 2016 adjusted EBITDA guidance of $500 million to $550 million. At the mid-point this adjusted EBITDA guidance represents a 15% growth. In addition, we are encouraged by the positive reception to our new product launches and we continue to expect mid-single digit sales growth for the full year. I will now turn the call back over to Scott.
Scott Thompson: Thank you, Barry. Great job. Before opening it up for Q&A I want to make a couple comments on three issues. Product roll out, direct initiatives and capital allocation. First, on the new product front, we're in the amidst of rolling out two major products in North America and the early signs are very encouraging. Our totally redesigned Stearns & Foster line has recently begun shipping, consistent with our initial reactions at the Vegas Bedding Show, dealer interest has been strong and we expect when the phase launch is completed to have more Stearns & Foster slots, particularly above 2000, which should help average sales price. The timing of the launch will be phased in over the next four months and supported by national advertising, television advertising. The first for the brand, you may have already seen this as we’ve begun the television campaign in the last few days. Our new Tempur-Breeze collection has begun shipping and we expect it to be about 80% complete with the rollout by Memorial Day. We’ve experienced higher than expected estimated demand for floor models, and as a result we have some back order on Breeze. Our manufacturing team is working hard to meet this demand. We are pleased with the early report of sales velocity which is up from prior line. We plan to supplement this early momentum with our new Breeze advertising campaign. For those of you who are curious you can check out both the Breeze and the Stearns & Foster television campaigns on YouTube, and see for yourself why these ads have scored so high with test audiences. In addition to the North American launches, we are very active internationally. Our international launches for both Tempur and Sealy have begun, and are progressing on schedule. The Tempur-Hybrid, our international version of the Flex is rolling out with considerable dealer interest. We're exceeding our slot expectations and feel good about our initial sales. Our international Sealy launches are also on track. Moving on to our direct initiatives, we continue to believe our direct business is highly complementary of our primary business, which is through third party retailers. On the international front, our direct business expanded double-digit as our network of owned stores had high teen same-store sales comps and international e-commerce also performed well. Our U.S. direct business was up mid-single digits, and accelerating. In March, we successfully launched our Cocoon by Sealy online bed in a box brand in North America. We're now getting firsthand experience on this channel directly learning about the customer's profiles and preferences. Our initial learnings have strengthened our conviction about the quality of our Cocoon offering relative to other bed in the box products. We're working with certain retailers to include their participation and we are sharpening our marketing strategy. We continue to see this channel as interesting, and consistent with our broad distribution channel strategy to make our products available wherever our customers want to buy them. We continue to see this as niche distribution channel as the vast majority of customers prefer to test out beds in store and compare the field, and the value proposition to the customer is not stronger than the in store proposition. Nevertheless, based on our initial earning, we see no reason why Tempur Sealy cannot be a leading player within this limited segment. We incurred several million dollars of launch expense and we will be increasing our advertising investment throughout the year. Finally let me spend a minute on capital allocation and our thinking around retaining excess cash to shareholders. We believe strongly in the businesses long-term opportunity to grow EBITDA, cash flow, and drive return on invested capital. For the first quarter of 2016, we calculate our GAAP ROIC improved over 200 basis points from last year. For full year, we expect GAAP ROIC to be in the high teens. We think that would benchmark pretty well against most businesses. We currently expect to generate cash flow significantly in excess of the amount that is required to maintain and grow our business. This is one of the core strengths of this business model. Thus, the management team and the Board of Directors were pleased to initiate a repurchase program earlier this year. During the quarter under this program, we deployed $100 million to repurchase 1.7 million shares of our common stock. We still have 100 million remaining from our previous authorization and as we explained last quarter, we expect based on current circumstances that share repurchase will be an ongoing part of our capital strategy. As Barry discussed earlier we recently put in place a senior credit facility, realizing improved economics and more flexible terms around capital management. We appreciate the banking community support of our company and particularly its capital plan. We'll continue to align our debt structure with our capital strategy. Stepping back a moment, this quarter represents the fourth consecutive quarter of year-over-year increases in both adjusted EBITDA and operating margin. The entire Tempur-Sealy team is committed to improving this metrics through consistent execution quarter after quarter, year after year. We're all striving towards our aspirational targets. Everyone on team knows there is a lot of work to do and in order to achieve our goals we must find problems, communicate problems and jointly fix problems all as quickly as possible. As I said before, and I'll say again, execution is where most value creation takes place. Operator, will you please open the call up for questions.
Operator: [Operator Instructions]. Your first question comes from the line of Brad Thomas from KeyBanc Capital Markets. Your line is open.
Brad Thomas: My question was around sales and you know with the revenue decline that you posted in the quarter, obviously there are questions around how consumer spending is holding up right now within the industry, what changes are unfolding from a competitive standpoint and so I guess the real question would be, you know, how are you thinking about those aspects of sales and as you reiterate your revenue guidance for the year, you know, what gives you confidence to do so, considering that does imply that you probably need to drive high single digit, maybe even double-digit revenue growth, later this year? Thank you.
Scott Thompson: Sure. I can't say that was an unanticipated question at all and I certainly appreciate it. First of all let me just give you just some color outside of the script on -- I'm going to start with North American sales. I think if you -- the way we see North America economy in the first quarter, we think GDP will be relatively weak, call it 0.7 or something. We believe consumer spending numbers when they're finally come in will be slightly weak. Durables are certainly going to weak. So first of all I would say from first quarter standpoint from the macro standpoint, it wasn't robust. Then in our channel check as you might guess when the sales slowed down in February and March we certainly reached out and touched a lot of people in the industry, talking to them about the furniture demand, what some of our suppliers were seeing, and I think there is no question from our perspective and our research that the industry in general was also not very robust, not just mattresses but just consumer spending. That's our read. It's a little early and we'll get data obviously over the next three weeks as everyone else reports. I think the other thing that when you look at our revenues you have to be careful of, and it took us a little while to really understand what was going on, is the floor model discounts and Barry talked about it in his prepared remarks, but let me make sure we understand what we've experienced is the Breeze launch is larger than the Flex launch, and on the Tempur side that means that we're going to have more floor models, which is going to be a headwind for revenue. Also, and this was the part that took us a little while to understand, when you think about Flex last year, Flex was a completely new field. And so our retailers did not have to liquidate inventory of old Flex because there wasn't any old Flex last year. This year, what we experienced in the first quarter as we announced Breeze 2.0, was retailers had to clean out their inventory of Breeze 1.0. And yes, this is an industry that doesn't have a lot of inventory in its system but there is some inventory in the system. And so our retailers found themselves having to liquidate Breeze 1.0 in what was a relatively weak quarter. We think that was a significant drag in the first quarter revenues. A couple other things that I guess I would point out on revenues, Barry called out our joint venture, which had a relatively rough first quarter. Clearly he called out that we're expecting it to have a robust second quarter, so we see that as more of a one quarter item. So that helps our confidence level. A couple other things, because I got kind of a long list, kind of like I wonder what's going on here, the other thing I have to tell you is you go back and look at my original conference call, I think it was third quarter last year, I think we were pretty clear that one of the strategies that we were going to deploy was that we were going to be EBITDA focused and we see a growth company as a company that grows EBITDA and we're not going to be overly sales focused. Clearly you have to have sales growth and sales are critically important, but that we weren't going to stretch for sales. I think the term I used was we were going to be more EBITDA focused or margin focused than sales and some people didn't really understand that and you know, let me take a couple seconds to kind of talk about that. I also think that's fundamental the way we're running the business going forward which has nothing to do with your particular question, but I think investors need to understand, that from our perspective we can drive sales any quarter we want to. It's very simple. All we have to do is lower price or increase incentives. That's not the way to run this business model. We run the business model the entire income statement, and so at times, look, we look at each customer relation reports, we look at their profitability and we think about what's the right risk reward for that particular relationship, and at times we pass. And so we are being more focused on profitability than sales and that's in the numbers some, too. But to answer the bulk of your question, when I look at the strength of our new products, both domestically and internationally, when I look at the reasons why there is a small decrease in revenues this quarter and I can pretty well pencil them out as to what caused them, we feel pretty -- I guess I should say what I'll call April activity in sales, we feel pretty good. Now, we did get a [indiscernible] first quarter and that January was robust and then it slowed down and we could get a head fake, but I got to tell you as I sit here now we're feeling pretty good about things.
Operator: The next question comes from the line of John Baugh from Stifel. Your line is open.
John Baugh: I'm going to pivot from the obvious domestic revenue questions and ask a couple international and maybe interest expense. On the interest expense and the new credit facility, I guess a few things. Where we pencil out Barry, interest expense for the year how does that sort of flow? And then I think you mentioned the restricted basket on the 2020. Does that mean that you can only do a 100 million more in repurchase between now and calling those bonds or help me understand that, and then I'll follow up with an international. Thank you.
Barry Hytinen: John, I would say that when you look through the new credit facility you find the interest rates are a little bit improved as Scott mentioned on the call, the economics of it. If you just kind of -- if you didn't assume any additional repurchase and you're just working down debt, then you probably have interest expense, kind of in this number on a quarterly basis. And around what we saw in the first quarter and tapering. If you had cash flow going to debt reduction. As relates to the second part of your question, so that basket under the 2020 senior note today is little over $100 million as I mentioned that grows about 50% of GAAP net income through the year. So if you work through our guidance, I think you would find that that would get by the end of the year to somewhere in the vicinity of $100 million of availability.
John Baugh: And then on the international, Scott, you mentioned launch product launches there. And you mentioned I think that Sealy was on track. I was just wondering if you could give a little more color, particularly about Europe, what you're seeing in terms of revenue and then maybe go into a little bit the drivers to the gross margin improvement that you're seeing in the international business. Thank you.
Scott Thompson: I think on a constant currency basis, somebody correct me if I'm wrong, I think we're up 6% in revenue on constant currency. As you probably know we got quite a bit going on internationally. We're launching our Hybrid, which is the Flex in my terminology across many nations over there. We're in the early stages, but I can tell you is that the reception has been good. Slots are increasing but I can't tell you it's been there long enough that we have a lot of data on velocity but we feel pretty good about it. I don't really have a good feel for what I'll call the European consumer and there are market share so small over there that we're clearly growing and taking share and so you don't feel consumer sentiment quite the same as you do when we have large market shares. But in general, I would say we're doing well over there. We're going to have some margin pressure as the Sealy brand rolls out, right, Barry because of just merchandise mix but will certainly be accretive to EBITDA and growth from an EBITDA standpoint.
Barry Hytinen: John, I would just add that what you saw in our constant currency result is improving pricing as the -- even the Sealy launches that we're doing this year are at higher prices than they were last year, so we got Posturepedic and Stearns rolling out which helped average price internationally. And I guess just one technical element that I'll add to my prior response on your 2020 question is that that's based on after we file the Q. So if you think about it it's this quarter we'll grow after we file the next Q, and then you would have the second and the third quarter. So by the end of the year as you're thinking through your numbers the fourth quarter adjusted net income would be accessible in the next year, which is baked into my rough $200 million number. But also add that our joint venture in Asia is doing really well. Double-digit growth, and we're feeling very good about how that business is setting up. It's been a tremendous asset to the company over the long term and we see it continuing to grow in markets such as China and throughout Greater Asia.
Operator: [Operator Instructions]. The next question comes from the line of Mark Rupe from Longbow Research. Your line is open.
Mark Rupe: Did I hear you say that North American bedding units were up 5%, was that correct?
Scott Thompson: Yes.
Mark Rupe: So from a pricing standpoint, Tempur and Sealy pricing, how do you expect that to play out over the next few quarters? Will there be a reversal in the Stearns & Foster pricing impact?
Barry Hytinen: So we certainly experienced negative headwinds on pricing from the high end Sealy brands, Stearns & Foster and Optimum being down, and as we moved through the launches of Stearns & Foster through into the second quarter and even little bit into July, we would certainly expect that to start ramping and be less of an effect if not even a benefit as we move through the year as Scott kind of alluded to in his prepared remarks.
Operator: The next question comes from the line of Budd Bugatch from Raymond James. Your line is open.
Unidentified Analyst: This is Bobby fillings in for Budd. I was hoping I could get a little bit more detail on the Sealy margin improvement and maybe kind of what actions took place during the quarter over the last couple of quarters to improve 12 out of the 15 plant, and then maybe add sneak one more in there what is the commodity outlook going forward now given that we've seen an uptick in commodity costs here recently?
Scott Thompson: I'm going to let Barry do the commodities because that's too complicated for me. But I can certainly talk about Sealy plants and Sealy transformation. I'm going to be a little evasive because I'm guessing my competition is probably listening in on the phone call so I'm not going to tell them exactly what we've done. But I would tell you that starting in the third quarter, we defined Sealy manufacturing as critical to the company's long-term success that we determined that we were a bedding manufacturing company, and we got all of the departments within North America to work on the issue. That included, HR, I.T., accounting, not just the -- what I'll call the great men and women that just normally work in operations and began to work as a team to improve what we believed was a problem. It took a little while. As I said on the call, we were down a 100 basis points in the third quarter. We were flat in the fourth quarter and we are up 100 basis points this quarter, and that's X commodity, X merchandising mix, what I kind of define as the four walls. How well we actually making in manufacturing beds, but it's about people and you know, we really got focused on the people. We cleaned up some of the plants, redid some bathrooms, some meeting areas, started giving people awards, started recognizing outstanding performance, started benchmarking the manufacturing facilities against each other. But you know, mostly you know, we really just got -- we got focused on it and the great thing is I think I've been to six of the facilities. You feel it. I think people are feeling much better about the operations. When I go look at not just the EBITDA margin but the things that are also really important like safety, safety has improved. Turnover has declined. On time deliveries gotten a lot better. I just got to tell you that I'm really proud of everybody's work in that area. Do you want to do commodity?
Barry Hytinen: Sure. On commodities it was largely as we expected, as you recall on the last time we talked about this we said you know commodities probably would be about $20 million for the full year as a benefit and with more of that in the first half, we saw about $6 million of benefit in the quarter. That was as I said right in line with expectations, foam and steel and some of our other commodity inputs were favorable but I will note there were some things that were inflationary, packaging and some of the other components such as gel. To put that in perspective, floor model discounts was more in that number and FX was a couple of million dollars a hit. So when you think about the things that are either more macro oriented or onetime in nature, I would say it was kind of a negative actually in total. And then you know as it relates to going forward kind of expect the year to play out largely as we thought at the beginning of the year, kind of a long year, but had some benefit in the first quarter, think it will be less of a benefit as we move through the year as investors will recall that it was an increasing benefit through last year. So pretty much as expected.
Scott Thompson: I think Barry made an outstanding point that I would like to make sure everybody heard. When you look at the company and say is it over earning because of commodities? When you look at the quarter we did get -- we got a tail wind of $6 million, but we had a headwind of FX of a couple of million dollars and then had excess floor plan models of $7 million. So when I look at it and I ask Barry the question, are we overearning, is there anything unusual in the numbers that I need to really think about, I think he said it right. It was either call it flat to slight headwind on what I call uncontrollable or special items.
Barry Hytinen: And the headwind that we experienced from product mix, the Stearns and high end Sealy products that we mentioned was even larger than the floor model discount. To put that in perspective, as we moved through the Stearns launch we feel good about moving that number in the right direction.
Operator: The next question comes from the line of Peter Keith from Piper Jaffray. Your line is open.
Peter Keith: Just a follow up on the last comment regarding the floor model impact and maybe some of the inventory liquidation, do you think that $7 million headwind from floor model shipments will be bigger in Q2? I'm presuming it will and then on the inventory liquidations from your retail partners, is that also going to be a bigger headwind in Q2 compared to Q1?
Scott Thompson: I guess to answer the simple one, which is the second part. I think the inventory issue is behind us. I don't expect that we're going to have an inventory liquidation issue in the second quarter.
Barry Hytinen: Yes, I think that's largely correct. When you think about what's gone on in the first quarter, we had Stearns and that was quite an impact and we're well into the launch now and ramping and then as it relates to Breeze, that was the more significant impact there Peter. When you look at that $7 million that we were talking about, it was on the Tempur side vastly. So from standpoint of our expectation going forward, you know, there will be more Stearns & Foster floor models rolling out and there be definitely be some more Tempur with Breeze and some other floor models that are going but as a comparable I would say you know there still be headwind but by the back half it will be behind us.
Scott Thompson: And actually when I looked at it, it obviously the extra floor models is a negative to the quarterly earnings. The way I think about it it's great. It really foreshadows very strong back half of the year.
Operator: Your next question comes from the line of Jessica Mace from Nomura Securities. Your line is open.
Jessica Mace: My question is on the international product mix. You mentioned that the increase of Sealy products is having a drag on gross margin. I was wondering if you could give us some color on what that balance is and how long we should expect continued pressure from an increase in Sealy products relative to Tempur. Thank you.
Barry Hytinen: Well, on a constant currency basis, Jessica, Tempur all in grew kind of a mid-single digit, low mid-single, and Sealy was double-digit. So as we move forward through the year, as Scott mentioned we got our Tempur-Hybrid collection continuing to roll out. We roll out market by market, so our roll out internationally tend to be more extended than [Technical Difficulty] and so that has the effect of ramping on itself. And so we would expect the Tempur numbers to improve. And I would note that we continue to see weakness in Central Europe, Germany, and some of the other markets which are frankly high profit pools for us and -- so but we feel good I'll let Scott speak to that in more detail about what we're doing there and so we would expect that to be improving the rate of growth from Tempur. Sealy on the other hand is growing nicely double digits. And I think that has the opportunity to continue to grow because frankly over the long-term we see our Sealy business internationally being driving incremental market share.
Scott Thompson: I think look, the growth in Sealy would put some pressure on margins, but I don't consider that a problem I expect that good because the price point at Sealy internationally that’s a much bigger pool and has great opportunities over the long run. Although it does mix us down a little bit from merchandising, it gives us another customer that we haven't been servicing and it gives us great leverage on our overhead internationally. So we're very focused on driving Sealy.
Barry Hytinen: I guess I'll just add to that little bit, which is historically when people have looked at the margin differential, of Tempur versus Sealy in the U.S., and seen a fairly big spread, that while our Tempur margins internationally are historically higher than they are in the U.S. due to a variety of things that are fairly structural our Sealy margins internationally are also higher than the U.S. and the gap is nowhere near as wide as it is in the U.S. And that's principally because our Sealy launches are more at the high end of them. So we're introducing Stearns & Foster, Posturpedic at higher price points and seeing good uptick there. So the spread is as Scott mentioned not a big deal.
Operator: The next question comes from the line of Keith Hughes from SunTrust. Your line is open.
Keith Hughes: Two questions. First on April how strong, how big a rebound in sales did you see in April? And then question two, you had given us the unit number. I assume that was for all of North America. I guess the question would be how did units and dollars compare at Tempur-Pedic brand? Thank you.
Scott Thompson: I'll talk about April. Clearly we looked at April sales and they were strong. We're a little gun shy because quite frankly we looked at January sales and they were strong and we told you they were strong and then we hit a little bit of an air pocket. But I would tell you that the strength of April sales combined with the other factors we’ve talked about it was not at all hard to re-up on revenue targets. That was not a very hard conversation for us to have. We feel good about it.
Barry Hytinen: And Keith, on the bedding units by North America, that was a total North America comment that I made on the 5%, that they were both Tempur and Sealy were up single digits, and the thing I would note here is we have seen other than the floor models, on Tempur which were the number that we called out was essentially all in Tempur, we have seen really no change in pricing of impact and mix, so it's been very favorable, no mix change. So we've seen improved average selling price due to pricing actions we've taken but we haven't seen a change in the rate of sale across our lines and then on our Sealy brand business we have seen the average price pressure related to the high-end elements that we talked about.
Scott Thompson: I think the only thing we should probably call out, I'm looking at my notes Barry, on sales we haven't really mentioned we should help people understand all the data we've seen. I would also tell you that when we look at our sales first quarter, that we saw more weakness in the national accounts than we did the other accounts. There was some delta between those two.
Operator: The next question comes from the line of Seth Basham from Wedbush. Your line is open.
Seth Basham: Just to follow up on that last question if you could help us better understand what's happening within the Tempur-Pedic line how are the units trending in terms of growth and cloud in contour relative to the Flex in the first quarter?
Scott Thompson: I'm going to give you at least a thought. This is Scott. You know, it's taken me a little while to think through the products because our accounting brings the products up just like you talked about. There is cloud, there is contour and there is Breeze. But you know, when I really look at the products and I talk to retailers, I really think what we have is we have cloud, we have contour and then we have like an option almost like an accessory on a car that's called Breeze. It's almost like you take an attachment rate on a cloud, and get a cloud breeze. So he's going to give you kind of discussion but I think you have to be careful when you think about the product, because they really are just a couple products and then Breeze is an accessory on top of.
Barry Hytinen: Yes. And just to add a little bit, we don't break out too much detail there for competitor reasons, certainly our competitors are listening. But as we mentioned Flex was strong and that somewhat makes sense because as we mentioned it was rolling out last year. But it's doing well. And the rest of our lines blended with the sort of industry backdrop that we talked about but on just to be clear here, Tempur units were up, and Tempur bedding sales was up despite the floor model discounts.
Operator: And the next question comes from the line of Curtis Nagle from Bank of America. Your line is open.
Curtis Nagle: So just two very quick questions. One, on the 2020 notes, I guess would and can you call those notes early and then just secondly, Scott maybe could you talk about other distribution opportunities that you guys are looking outside of direct?
Barry Hytinen: Well, on would or could, we could. There is a May call provision that provides for calling them earlier than the first call and that’s in the disclosures. Certainly we look at a lot of things. And as Scott mentioned, we are continuing to evaluate our capital structure and with an interest to really maximizing shareholder value. So while I won't comment beyond that I would say that yes, we could.
Scott Thompson: And you asked about other distribution opportunities, other than direct. So personally I will make a very clear comment, we think the lion's share of the business is third party retailers. We expect that to continue to be the lion's share of the business. And we're committed to our third party retailers. We're continuing to have talks with retailers. One of the most exciting areas is TSI only, or TSA dominant. And we're continuing to talk to some retailers about that particular opportunity which we think is a win-win for both the manufacturer and the retailer.
Operator: And I will now turn the call over to the presenters for closing remarks.
Scott Thompson: Thank you. Thank you operator. To the 7000 employees worldwide, thank you for what you do every day to make the company successful. To our retail partners thank you for your outstanding representation of our brands. To our shareholders and lenders thank you for your confidence in Tempur-Sealy's leadership team and it's Board of Directors. This ends the call, Operator.
Operator: This conclude today's conference call. You may now disconnect.